Operator: Greetings and welcome to the Force Protection second quarter investor conference call. (Operator Instructions) It is now my pleasure to introduce your host, Mr. James [Palvinsky] of Integrated Corporate Relations.
James [Palvinsky]: Good afternoon everybody thanks for joining us. Before we get started, I’d just like to read the company’s Safe Harbor language. Certain statements in today’s call including without limitation, statements relating to the company’s business expectations for the remainder of 2008, statements relating to the beliefs of management of Force Protection, expectations, or opinions, and all other statements in this conference call other than historical facts are forward-looking statements as such term is defined in the Securities and Exchange Act of 1934, as amended, which are intended to be covered by the safe harbors created thereby. The numbers presented for the year ended December 31, 2007, the three months ended March 31, 2008, and the three month and six months periods ended June 30, 2008, reflect the numbers included in the company’s 2007 Annual Report on Form 10-K, Quarterly Reports on Form 10-QA for the first, second and third quarters in 2007, and the Quarterly Reports on Form 10-Q for the first and second quarters of 2008. Forward-looking statements are subject to risks and uncertainties, are subject to change at any time, and may be affected by various factors that may cause actual results to differ materially from expected or planned results. In addition to the statements discussed above, certain other statements are forward-looking, including, without limitation, our expectations regarding profitability, our ability to address or identify material weaknesses, and the progress made with respect to our internal controls, our expectations for the Cougar, Cheetah and Buffalo and their variants, additional orders for foreign military customers and the opportunity to remanufacture the Cougar fleet. These statements are subject to numerous risks and uncertainties, that are fully described in our recent filings with the Securities and Exchange Commission. With that out of the way, I would now like to turn the call over to Michael Moody, Force Protection’s Chief Executive Officer.
Michael Moody: Thank you James. Good afternoon and thank you for joining us to discuss our updated financial information. With me today are Frank Scheuerell, our Interim Chief Financial Officer, Charles [Mathis], who will succeed him as our Chief Financial Officer effective tomorrow, October 1st, and Damon Walsh, our Executive Vice President, Customer Operations. With today’s filings we are now compliant with the NASDAQ listing requirements. Through the efforts of our employees and advisors we have met our obligations under our NASDAQ compliance plan and have filed our outstanding filings with the SEC. In addition to filing the Form 10-Qs for the first and second quarters of 2008, we have also filed our Amended Form 10-QAs for the 2007 quarters which are consistent with our recently filed 2007 Annual Report on Form 10-K. For the purposes of today’s call, my comments will be focused on 2008 performance however, I’ll be happy to take questions related to the 2007 operational and financial performance. As many of you will recall in our previous two investor calls, our comments were limited to a strategic discussion. We are now in a position to continue that conversation and as promised to discuss in detail our financial results. To commence the call I’d like to address our CFO transition plan, and then I’d like to review the major financial and operational points from the first and second quarters of this year. Next I’ll talk about the business in general, the environment we’re operating in and talk about the strategic path we are pursuing. And finally we’ll open the call to your questions. As was announced in March of this year as part of an overall management realignment, we appointed Frank Scheuerell as the Interim Chief Financial Officer to lead our finance department and address our financial reporting deficiencies. Frank has also been instrumental in working with Grant [Thornton], our new independent auditors. It has always been our plan that when the company was current with its SEC filings and in compliance with the NASDAQ listing requirements Frank would step down and the company would appoint a new Chief Financial Officer. Charles [Mathis] joined us in June as our EVP of Finance. Effective tomorrow Charles will become our Chief Financial Officer. He’ll continue working with Frank Scheuerell to ensure an effective transition in our finance department. Now I’d like to address the first quarter of 2008 financial results. For the first quarter of 2008 we reported $403 million of net sales, as compared to $105 million for the same period in 2007. These numbers include $196 million of revenues which carry no gross profit associated with the vehicles produced by General Dynamics land systems under our subcontract arrangement. During the first quarter there was 780 Cougars and Cougar variants, and 24 Buffalos delivered under our contracts. This compares to just 191 Cougars and 18 Buffalos in the prior year’s first quarter. Gross profit in the first quarter nearly doubled as compared to the first quarter of 2007 rising to $38.3 million from $19.7 million. The shift in the gross margin which went to 9.5% from 18.8% in the prior year’s period is almost entirely accounted for by the impact of the subcontracted revenue. Absent that impact, gross margin percentage would have been virtually the same as that for the same period in the prior year. You should also bear in mind that within cost of sales for the first quarter of 2008 is an approximately $2.8 million write-down of our inventory value. General and administrative costs for the first quarter rose to $24.6 million versus $17.1 million for the first quarter of 2007 largely due to the growth in operations. However the first quarter of 2008 also includes higher legal, consulting and accounting fees and severance costs of approximately $3.5 million. In addition the G&A cost includes our $1.5 million contribution to the Medical University of South Carolina for brain trauma research at the new Traumatic Brain Injury Center. Further to get a clear sense of our operating profitability you need to keep in mind that G&A costs for the first quarter of 2008 also includes $4.9 million non-cash expense related to impairment of the Roxboro facility. These increases in G&A costs were partially offset by the absence of liquidated damages charge totaling $4.9 million incurred in the first quarter of 2007. Operating income totaled $10.8 million for the first quarter versus a year ago operating loss of $2.4 million. At the end of the first quarter our cash balance was $88 million with no long-term debt. Our accounts receivable were up. Inventories showed some reduction compared to the year end 2007. We generated positive cash from operations for the quarter but cash flow in total was negative due to capital expenditures for systems enhancements and manufacturing capacity that were committed to in 2007. Now I’d like to address the second quarter of 2008 financial results. Net sales for the second quarter were $341 million versus $139 million in the year ago quarter and includes $143 million in revenues associated with vehicles subcontracted to General Dynamics. During the second quarter there were 565 Cougars and Cougar variants, and 25 Buffalos delivered under our contracts. This compares to 212 Cougars and 17 Buffalos in the prior year’s quarter. Gross profit for the quarter rose 82% to $37.4 million versus the year ago level of $20.6 million. Gross margin for the quarter was 11% versus 14.8% in the year ago quarter. However the gross margin was impacted by the vehicles produced by General Dynamics which again in this quarter included no gross profit. G&A expenses for the second quarter were $21.5 million or up 24% compared to $17.3 million for the second quarter of 2007. These expenses included higher legal, accounting, auditing and consulting fees and employee severance of approximately $5 million. These increases were partially offset by the absence of a liquidated damages charge totaling $1.8 million incurred in the second quarter of 2007. Operating income totaled $12.8 million for the quarter versus the year ago operating loss of $273,000. At the end of the second quarter our cash was $73 million, down from $88 million at the end of the first quarter of 2008. We used cash to improve the timeliness of payments to vendors and reduce our accounts payable. We contained cash outlays with a reduction of our inventory to $110 million from $135 million at the end of the first quarter. We built vehicles out of our existing inventory and we wrote down $1 million of excess and obsolete inventory in the quarter. Accounts receivable decreased in the second quarter as compared to the first quarter of 2008 and we continued to have no long-term debt. So to summarize the first half financial performance, for the first half of 2008 net sales were $744 million as compared to $243 million in the earlier year period. Gross profit for the first half of 2008 was $75.7 million as compared to $40.3 million for the same period in 2007. Operating income during the first half was $23.6 million versus a loss of $2.6 million for the first half of 2007. Our reported earnings for the first half of 2008 were $0.22 per share compared to less then a penny per share for the first half of 2007. Shareholders equity for the first half of 2008 increased by $15 million to $247 million compared to $232 million at the 2007 year end. Although we recognize the improvements in the first half of 2008 over the comparable periods in 2007 we are by no means satisfied. We are committed to making further improvements in every aspect of our business. Since February of this year when I became Chief Executive Officer we have focused on operating the business more efficiently. This work will continue as we transform our business and look forward. At the same we’ve been transforming the business and completed our restatements, and bringing our filings current, we have also been working hard to exploit our strengths and address our weaknesses and to capitalize on our operational and strategic opportunities. The key strength of Force Protection is in anticipating threats and developing capable survivability solutions. We have pioneered the development of the MRAP category with the Cougar which led to a significant increase in our revenues, improved capabilities and the creation of important partnerships for us. The products and programs that have come out of this effort have been of great benefit to our customer, our shareholders, our partners, and most importantly to the war fighters. That having been said, we created the MRAP category and currently have only a 27% share of the MRAP fielded fleet. We did not make the most of the opportunity our innovation presented to us as the company was not good at evolving itself and its products to meet the needs of the customer. We recognize this and consider it a mandate to improve our level of responsiveness and coordination with both the United States Department of Defense and foreign military organizations. We have recently received an award for five lighter weight test Cougar restricted terrain vehicles which incorporate enhanced mobility, improved operational performance and high levels of survivability protection. This is consistent with the customers’ evolving requirements. In addition in response to the recent [inaudible] RFI for lightweight vehicle we nominated and enhanced Cheetah which we believe is particularly well suited to the customers’ requirements. We believe that these and other innovations provide opportunities for Force Protection to help the customer improve the capability of their entire fielded fleet. Our research and development effort is essential to keep us competitive. For example we have developed a proprietary composite armor package called Force Armor which addresses the threat from explosively formed projectiles or EFPs, that have supplanted the improvised explosive devices or IEDs, as a weapon of choice for the insurgents. We expect our current MRAP delivery vehicles will be fitted with our new Force Armor protection and believe that this is a solution that should be incorporated as an add-on package to a wide range of tactical vehicles both ours and those from other manufacturers. As we go forward we expect to reinforce and expand our research and development capability in areas such as material science, blast and ballistic protection and innovations that arise from our work with the Medical University of South Carolina. These efforts should lead to new products and improvements to the technology in our existing lines of business. I’d like to turn now to the backlog. At the close of the second quarter of 2008 we had a total of 763 vehicles in funded backlog. Less then 200 of those vehicles will be produced by General Dynamics. This backlog will take our production into the first quarter of [2008]. We are well aware of the key concern of some investors and analysts that our current backlog once it is completed we will face over capacity issues and a decline in profitability. Let me begin this discussion by agreeing that this is a major risk for our business. We have already taken steps to adjust our business to match our expected contract delivery order requirements and other opportunities such as service sustainment and remanufacture and will continue to do so. Since February we have reduced our workforce while we are currently achieving peak levels of production. We’ve gone from approximately 1,900 employees and contractors at the end of 2007 to approximately 1,700 at June 30 this year and less then 1,500 as of today. We have also created the partnerships necessary to service the surge demand that could come beyond our planned levels of capacity. In this way we will remain competitive on urgent programs that require quick delivery at the same time as we rationalize our infrastructure. Finally we are focusing our research and development to upgrade existing products and to create new ones. This will enable us to retain a leadership position. While we are planning for a lower capacity we are working to create scenarios where we could see strong levels of vehicle production, service and sustainment, and we are working hard to ensure that we capture all of the business that is available to us. There are several initiatives we are working on in this regard. First we are ramping up our domestic efforts to be closer to the customer and to seek a continued stream of business for Cougar variants and remanufacture and new business for Cheetah. Second we are continuing to actively pursue international sales opportunities. Third, we introducing a new A2 version of our very successful Buffalo vehicle and believe that this vehicle can provide long-term sales. Finally we are addressing our subcontractor relationship with General Dynamics to generate additional value for our shareholders and the customer. Related to these initiatives is the need to improve the overall efficiencies of our operations and how well they are coordinated with engineering design and development. These is a clear need to streamline our processes to generate margin improvement. A development capability must reinforce our speed to market with new products and services as new programs require heavier scale, we believe that our developing network of partnerships will serve us and our customers well. All of this discussion about capacity and opportunity considered I would also prompt you to remember that we have programs that do carry good visibility going forward. Buffalo is a unique special purpose vehicle in high demand that has been designated by the US Army as a program of record. Additionally our ability to service and support the fielded fleet of over 3,500 vehicles looks to continue. As the size of the fleet increases service and sustainment will grow and this will become a more meaningful business for us. These two categories taken together generated approximately $111 million of sales in the first half of 2008. As we move forward we have the opportunity to leverage what has been created at Force Protection to continue as an important provider of survivability solutions. As of today, I think the organization has a clearer sense of itself then ever before. We know what we’re good at, we know where we need to get better, and we recognize what makes us different from our competitors. Thank you for listening in to this investor call today. I hope you will share our optimism for the future and our belief that we are a special company with strong opportunities. Now that we’ve satisfied our reporting and disclosure requirements, we’ll get out on the road over the next several weeks to meet with many of you. We also hope to see you at [Modern Day Marine] and the AUSA trade shows this week and next. I’d now be happy to answer questions.
Operator: (Operator Instructions) Your first question comes from the line of Chris Donaghey – Suntrust Robinson Humphrey
Chris Donaghey: As we’re going through trying to determine what a normalized margin would look like for the company, you walked through a lot of the details in the first and second quarter on inventory write downs and severance, what I wasn’t quite following is were the excess or higher then expected legal and consulting fees included in those or is there another number that we should be using as a number that might come out of a normalized looking quarter?
Charles Mathis: On the write down of the inventory as in the cost of sales, the higher SG&A we had for the audit, legal and consulting fees was what Michael had mentioned the $3.5 million in the first quarter and the $5 million in the second quarter that was all in the G&A. Those items are included in the number that was provided for the SG&A additional expenses.
Chris Donaghey: So in Q1 you had $3.5 million in severance, and higher then expected legal and consulting fees. The $1.5 million contribution to the Medical University of South Carolina and then the $4.9 million non-cash expense due to Roxboro.
Michael Moody: Right they are all separate items.
Chris Donaghey: And then in the second quarter the $5 million was for severance as well as the elevated legal and consulting?
Michael Moody: Right.
Chris Donaghey: In the second quarter there was only $1 million in inventory write-down?
Charles Mathis: That’s correct.
Chris Donaghey: And so are you comfortable with the inventory levels now and should we expect any more inventory write-downs or is that pretty much taken care of?
Michael Moody: We’re comfortable with the inventories now.
Chris Donaghey: As we look forward international opportunities beyond the UK, I know that there’s been some reporting in defense news recently about the UK potential getting significantly larger but beyond the UK can you quantify at least the number of different countries that are out there that you’re pursuing international sales with?
Michael Moody: The number of active negotiation discussions we have is really not much different then the number we reported on the last investor call which I think we had indicated about half a dozen. And we are obviously actively supplying the United Kingdom, Canada, and Italy; there are a number of countries we are currently supplying to, France as well. But we have active discussions with six other countries. In terms of the size of orders, some of them are potentially really significant; some of them are quite a bit smaller. But overall from an international point of view there are with the exception of the substantial orders that we fulfilled and I believe there was one order fulfilled by a competitor in Spain, or awarded to a competitor in Spain, there has been very little or none in terms of other orders being given.
Chris Donaghey: On the RFI process for the Cheetahs product, do you have any visibility into the timing of when a decision is going to be made on that and if its coming through a [inaudible] process do they need to get every vehicle through testing or can they use urgency to circumvent the normal process to start buying vehicles once they’re comfortable that enough data exists to buy vehicles?
Michael Moody: I’m not sure we have real clarity on the timing. Testing is going to depend a lot I think on how comparable or similar these vehicles are to vehicles that have already been through test. So I think it’s really going to depend on what’s offered and what their view is on how this fits with tests they’ve already done.
Damon Walsh: I think the timing appears that they’re going to take, appears they’ve got a lot responses to the RFI and its likely they’re going to review those responses and there’s still some question about whether the MRAP JPO will manage the acquisition or [Taecom] will manage the acquisition but the likelihood is that in the next month to two months, they’ll issue an urgent [RFP] to come out asking for vehicles based on production and test. The test, the won’t be able to, they’ll never be able to field a vehicle that hasn’t been qualified in some form or fashion so that will be one of the first trusts is whether somebody, obviously somebody that has tested qualified vehicles will be in a better position to respond to the [RFP] when and if it comes out.
Chris Donaghey: The lightweight Cougar test vehicle order, I found that interesting because it was my understanding that the [Navastar] order that was issued the same day kind of completed MRAP 1 orders so what do you see as the potential for this new lighter weight Cougar given that it seems like MRAP 1 is kind of wrapped up. Is it possible that the Marine Corp comes back in and instead of rebuilding older versions of the Cougar they just buy some of this newer version? How should we think about the opportunity for the that particular vehicle?
Michael Moody: It’s our view too that that order that was placed does complete MRAP or MRAP 1 as we knew it. Certainly in terms of the order that we had for the five test vehicles, what we’re being told by the customer is that there is substantial interest in getting these vehicles completed and in their hands as quickly as possible, that the situation in Afghanistan particularly is evolving. There is substantial amount of planning and activity the customer is undertaking related to what they’re going to field in Afghanistan. Obviously the mechanism I would say achieved that we’re really not clear at the moment. But certainly there is substantial interest in the vehicle and the improvements we’ve made to the vehicle.
Damon Walsh: Like you said in the opening comments, its all part and parcel of an evolution that went from MRAP 1 then it got heavier going to MRAP 2, now they’re looking for a lighter vehicle that can provide the same MRAP style levels of protection and Humvee style levels of mobility.
Chris Donaghey: On R&D, how should we think about the R&D expense going forward now that, about $3 million per quarter?
Michael Moody: R&D is particularly important to the company. Obviously that is a message that is important to us and it’s very much a part of the future. We are looking at the R&D expenditures relating to the capability that we believe we need in that area, not necessarily as a percentage of sales or some other metric. One of the things that happened when we had this change in leadership at Force Protection was a refocus on the R&D area. So in general terms what I’d say to you is that if anything we are adding resources, adding some expenditure there and as I indicated we are starting to see some dividends coming back already from that activity.
Operator: Your next question comes from the line of James McIlree – Collins Stewart
James McIlree: It looks like if you X out all of the, let’s call it one-time charges, the South Carolina contribution, the severance, all of that and the Roxboro impairment, that you’re running at about $15, $16 million of quarterly G&A. Is that a number that’s likely to be stable going forward or does that decline as your MRAP deliveries decline and you bring your costs further in line?
Michael Moody: The management of this business is committed to the capability and cost of the business being aligned with the orders and the revenues that we have. That is obviously a significant level of G&A expenditure. If there is a substantial reduction in our orders or our revenues going forward, I think you can expect a commensurate reduction in the G&A.
Charles Mathis: I would just agree with that but also say that we are here in the third quarter. We don’t anticipate a whole lot of reduction in some of these higher costs because we’ve obviously been working on the restatement, being working on a number of the accounting issues going forward, but going forward we look to optimize and control the costs in the G&A going forward.
James McIlree: I’m a little confused about the difference between the lightweight Cougar order for the five test vehicles and then the RFI that was put out. Is there any connection between those two in your mind or do you think that the customer has put any connection between those two?
Michael Moody: They very well could be. They are responses to, one was a requirement from the JPO, and the other came from [Taecom]. I think in different ways they’re looking at the operational requirements in Afghanistan and in some way or other they could very well come together. I think that from Force Protection’s point of view they provide two excellent opportunities to present our innovation and present different versions of our vehicles. I think the way we’ve submitted to these really gives us a real good opportunity to say that the Cheetah suits in certain circumstances and these vehicles could very well be complimentary just as the [inaudible] are. But I think both of our vehicles had good responses to the different requests which are in a sense aiming at the same objective.
James McIlree: But does in your mind, does [Navastar’s] win in that final MRAP delivery of lighter weight vehicles give them some sort of advantage in the RFI that becomes the RFP?
Michael Moody: Not in my view no.
James McIlree: On the international side, you’ve been talking about the international market for some time now and I’m trying to understand how it is that you’re going after that market, how many people do you have pursuing those bids? How much money are you spending there? Can you give us some indication about how it is you intend to win some of those bids?
Michael Moody: We have a limited number of Force Protection employees who are involved on the international side. I am personally involved myself. Damon Walsh is also involved so from Force Protection employees’ point of view, it’s not a large number of people but it certainly has the attention of the leadership of the company. In many countries where we are seeking to win orders, we have sought to find the strongest and most capable agents we can and to work through those agents. We visit those companies regularly. We have our vehicles in those countries for tests. On some occasions we look towards partnering arrangements or relationships if some local manufacturing is required and just generally that whole process does take some time. Certainly as we go forward this continues to be a very important part and I will continue to be very actively involved in seeking to close some of these.
James McIlree: I think you said that GD is going to deliver about 200 of the vehicles in backlog at the end of Q2?
Michael Moody: That’s correct. Less then 200.
James McIlree: And so if we ignored the MRAP portion of Cougar and just talked about the other Cougars out there, the ones going to the UK and Canada, did you say those get wrapped up by Q1 2009 or were you referring to the MRAP portion that gets wrapped up by--?
Michael Moody: All of our backlog including the orders for the British and Canada, all of that currently funded backlog extends through the first quarter of 2009. Not just MRAP, its everything. And obviously it’s important to us to start to fulfill that order book going further. As far as the Buffalo is concerned as indicated, there is a much longer term horizon for that but with the Cougar it’s really a question of us looking to land some other sales.
James McIlree: So the things that are visible for 2009 would be Buffalo and some level of service and support and sustainment?
Michael Moody: And then the completion of those Cougar variants in the first quarter. But I think I’ve indicated in terms of Buffalo and [inaudible] and sustainment I think our first half of 2008 number was 111 so you can maybe make some calculations as to what that could mean for the whole year. The other thing I’ll generally mention to you and maybe I didn’t make a precise enough reference to it is that as I’d indicated on earlier calls, we are certainly working with the customer to look at remanufacture opportunities. The lightest version of these vehicles that we’re delivering plus the restricted terrain vehicle are substantial enhancements on the vehicles that we have previously delivered. We have Force Armor that’s available to go on these vehicles as well. So there are a lot of things that we are working with the customer on seeing if we can enhance the capability of these vehicles but in terms of survivability particularly in Afghanistan operating in extremely rugged environment there are opportunities to enhance the springs and the axles to improve the [powder] weight ratio. There are a lot of improvements which are recognized in our more recent vehicles.
James McIlree: Have you become less confident or optimistic about the remanufacturing opportunities?
Michael Moody: Well I had indicated earlier that I thought that we would get an order during 2008. I’m not as confident that that will happen now. I still believe that there will be a remanufacture effort. Its not clear to me exactly what the timeframe is going to be, its also not really clear how much of that might involve bringing vehicles back to our facility and how much may be able to be performed by our FSRs or working with the customer in theater or close to theater and I think as the Department of Defense starts to plan out particularly, Afghanistan is an unusual fight. We go through fighting seasons and winters and as we’re now starting to plan the next fighting season a lot of these issues are being considered and we are obviously talking to the customer about that.
Operator: Your next question comes from the line of Joe Maxa – Dougherty & Company
Joe Maxa: Now that we’re at the end of Q3 could you give us a glimpse of what Q3 is going to look like as far as number of vehicles shipped in the quarter?
Michael Moody: I really can’t. What I prefer to do, now we’re timely which is great. We will obviously focus on getting our third quarter financials filed on a timely basis and then we can go through that in detail. The company had historically been issuing monthly production numbers and I’m not quite sure that was really productive.
Joe Maxa: Would you expect that GD had completed their portion of the MRAP vehicles in this quarter?
Michael Moody: I think they’re well through them. The other comment which I did make Force Protection is currently producing at or near record production levels.
Joe Maxa: Help me understand the IOS backlog. Is that at all include IOS revenue that GD would be providing as part of the JV?
Michael Moody: Yes it does.
Joe Maxa: So the IOS that you’ve reported in your income statement over the last four quarters, how much of that would have been a pass-through on the GD side?
Michael Moody: In the first half of the year very, very small.
Joe Maxa: But going forward that’ll obviously be much larger?
Michael Moody: Going forward the dollars are being awarded much more towards service sustainment, towards [SSRs and spares]. And so what we’ll find as we go forward is that there’ll be less in terms in vehicles and there’ll be more in terms of [spares] and sustainment but that we deliver and we’ll subcontract to General Dynamics.
Joe Maxa: Are you going to report that pass-through like you are the vehicles?
Michael Moody: I think we’re moving more towards a prime subcontractor situation so I think that the way in which in earlier periods there was non-GAAP discussion and non-GAAP reporting, I think our relationship with General Dynamics as its evolved and as this program has evolved has moved away from that and I think that we’re not likely to be continuing to single that out and we have relationships with a number of other subcontractors and providers that we don’t single out. So I think going forward we probably won’t be doing that.
Joe Maxa: So this doesn’t need to be [inaudible] like you were trying to do with the vehicles, the IOS piece?
Michael Moody: Contracts are all awarded to us. Every contract is awarded to us and then we have subcontractor arrangements with General Dynamics Land Systems.
Joe Maxa: Can you give me an idea of what you; the current if you look at the first half IOS is that what you expect to be a sustainable number going forward into 2009?
Michael Moody: We’re not in a position where we’re going to forecast 2009 but I think the general proposition is true. There are more vehicles being fielded. These vehicles are being very actively used. I think I’d indicated to investors before just from a vehicle maintenance point of view, these vehicles are getting service every six months, just on a regular basis, tires and automatic components and then of course a lot of them suffer battle damage and have to be repaired as well. The war in Iraq is changing, Afghanistan is changing. But with the increase in the number of fielded vehicles and the active use of them, we see this as a growing source of revenue.
Joe Maxa: On the Buffalo you have done in the 20s, 25 say average last couple, three quarters should we be looking at that number going forward even though your backlog is saying 22 or should we see a much less Buffalo per quarter as we progress?
Michael Moody: Over a longer period of time we really see those sort of numbers as being what we’ll be producing. We’re going through something of a transition with Buffalo at the moment. We have largely completed delivering the A1 Buffalos. There are a couple going to some of their customers. We have built the first of the A2 Buffalos. They are currently being assessed and evaluated by the customer. The more we go through that period, there is a little bit of a lull in terms of what we’re seeing in terms of orders but as I’ve indicated we really see this level of production from a long-term point of view for the Buffalo.
Joe Maxa: On the UK orders, actually the potential they’re talking about another 100 mass [divs] have you been talking to them about that as well as what they’re calling the light support mine protected vehicles and beyond that, if you haven’t or you have, when do you expect to hear more where you might see this progress to a contract?
Michael Moody: We have been actively talking with the Ministry of Defense. In fact, Damon Walsh is speaking to us from the UK. He’s there and he’s working with our UK customer. The exact timing of an order is not easy to tell. You’ll see just from published reports that the UK government needs to find the money but they are clearly from published reports seeking to put that money in place to be able to place orders for these types of vehicles. Certainly the reports we’ve had from service personnel in the theater, from the leadership in the Ministry of Defense and other leadership in the UK is that the vehicles have performed extremely well. We are delivering vehicles at the moment. We are talking to the UK about potential other orders.
Joe Maxa: So that light support mine protected vehicle, do any of your vehicles meet that requirement?
Michael Moody: We’re having discussions in some other areas at the moment, not specifically in that area.
Operator: Your next question comes from the line of Josephine Millworth – Stanford Group
Josephine Millworth: Can you talk about what margins look like on service of your MRAP vehicles? Are they better then just the sales of MRAP vehicles or are they slightly lower?
Michael Moody: I think it’s not unreasonable if you’re looking at the company to really, there can on a month by month or quarter by quarter be some difference in the margins but I think that if you recognize the contracting arrangements we are in that the margins between our different lines of business are not going to be that different.
Josephine Millworth: So pretty consistent with your product sales?
Michael Moody: Yes.
Josephine Millworth: It sounds like you have some interesting opportunities ahead of you; did I understand you correctly when you said that you have developed the EFP defeat armoring kit? Is that something you envision installing on your existing MRAP vehicles or can you expand on that to give us better sense of the potential market opportunity might be?
Michael Moody: In regard to the vehicles that are currently being delivered, we believe that this solution is going to be installed on those vehicles. But we also recognize that this armor solution provides the same protection on all the previous vehicles that were delivered and on vehicles delivered by other manufacturers. So one of the things that we are doing is not only having this armor fitted to these deliveries but talking to the customer and to others about how else this armor might be deployed. Its one of the first signs of the real development activity that’s being undertaken in our R&D area and it’s certainly a substantial product for Force Protection.
Josephine Millworth: Can you give us a sense of how much one of these kits might run?
Michael Moody: I don’t know that I can really do that, not on this call.
Josephine Millworth: Given the lengthy government sales cycle what if you don’t hear anything to add to your pipeline before the end of first quarter next year; do you think you would have to reduce your capacity? Can you talk about what’s your contingency plan?
Michael Moody: Just in general we’re committed to having this business at the right size in terms of all of the resources whether its facilities, the inventory we have and the employees we have to make the business we have and the business we expect. If we continue the development we’re undertaking and there’s some really good opportunities that we’re working on that will lead or could very well lead to orders, obviously we need to recognize that as we plan the size of this organization. But we are not going to continue an organization with a substantial capability that does not relate to our orders or expected orders.
Operator: Your next question comes from the line of Mike South – Lake Union Capital Partners
Mike South: You mentioned that with your JV with General Dynamics that there were going to be opportunities to create shareholder value, could you elaborate a little bit considering it’s a zero margin business right now?
Michael Moody: Just without going through too much of the history, the arrangement that was put in place with General Dynamics was very valuable at the time it was undertaken. I think it helped Force Protection in terms of the credibility it needed at the time it was put in place, provided the production capacity that was needed in terms of the large number of orders that were coming through. But certainly talking on behalf of Force Protection but I believe that General Dynamics feels the same way because we have actively discussed this. There’s a clear recognition that the relationship, the MRAP program is evolving, the relationship is starting to evolve and there is a real willingness by ourselves and General Dynamics to go back and look at the fundamentals of the relationship. To look at the relationship so that we extract the best benefit for the customer but also to be satisfied that the shareholders of each company are properly rewarded for the investments they put into products, for the R&D activity, for the engineering activity, and not just for the production. So I think there’s an opportunity for us to go back here and really look at a new way in which this relationship can go forward. I think it’s been of enormous benefit to both companies so far. I certainly recognize the zero margin aspect of what the historic relationship has been but I think considering what this relationship has achieved in terms of deliveries of MRAP, the strong business relationship that’s developed between the organizations, there’s a great opportunity here for it to establish something that’s as I said beneficial to the customer and then maybe more focused on some things then just delivery of trucks.
Operator: Your final question comes from the line of Marc Robins – Robins Consulting Group
Marc Robins: Since we’re talking about tail ends, let’s first talk about the [ILAV]. We’re supposed to be winding down a little bit in Iraq, possibly sooner then we thought and that means the Iraqis are going to have to have greater and greater responsibility which should mean that there may be a need for the Iraqi light armored vehicle. Is that going to be able to be resurrected and could you snake that back from BAE?
Michael Moody: We’ve got a good relationship with BAE. We recognize that there are further opportunities in regard to not only potentially new ILAV orders but also the maintenance, service and sustainment of the current ILAV fleet.
Damon Walsh: The word from BAE is that there are still requirements floating out there both the Iraqi military and the Afghan military for an ILAV style vehicle. I think it may be tied up in waiting for the FY09 budget but bottom line is BAE is still confident and we’ve endeavored to improve our relationship with them so that we can collectively go after greater markets for the ILAV so yes, I think the possibility is still there that there’s going to be a demand for ILAVs. There’s also the Iraqi government is now pretty actively taking a lot more control over its own destiny and they have a team in Washington that’s engaged in working on their own to solicit requirements and we’re talking to them as well.
Marc Robins: If I remember correctly the contract was originally written that if it was an ILAV given the relationship you had a pretty good control over not only how it was built and royalties but how the follow-on repairs and so forth were handled as well. Now is that changed or is this a little more conciliatory tone or is this how you can work with BAE with other countries and future opportunities?
Damon Walsh: Its hasn’t changed. We still do, the agreement with them is still that we do half the vehicles, they do half the vehicles and all of the spares and sustainment and lifecycle support comes to us.
Michael Moody: We just recently extended that agreement.
Marc Robins: So it’s really up to the powers that be and money and whether or not Iraq wants to buy more?
Michael Moody: I think that’s true and I think the other point that it certainly appears to us and to BAE that the Iraqis are taking a lot of this in their own hands and so we’ve been reaching out to them and seeing if we can help this process move along.
Marc Robins: Regarding the Cheetah and we have the Cougar and then we have the ILAV and then we have the lighter Cougar and now even a lighter more mobile Cougar, and I’m having trouble distinguishing, it sounds like we’re [metamorphisizing] the two vehicles. They’re getting closer and closer and I would really appreciate you giving me a little better hand as to how to distinguish, it sounds like they’re metal melding here getting closer together. Are they still [diseparable] enough that we’re not stripping so much of the Cougar away that its going to become too light a vehicle to be really, give the soldiers sufficient protection or are we beefing up the Cheetah too much so it becomes too heavy and too awkward in the field of operation, that’s what I’m afraid, or am I just too much of an old warhorse and remember too much of the problems in WW II?
Michael Moody: As I indicated before, some of the responses we’ve given to this [inaudible] with the restricted terrain Cougar and what we’re doing in terms of response to the RFI, to some extent although they’re coming from different places are being driven by the same requirements and particularly around Afghanistan. But it’s clear to us that in different circumstances the lightweight Cougar and the Cheetah can perform different functions. A lot of this is about making vehicles lighter but the Cougar is never going to get down to the size or weight of the Cheetah. The Cheetah has the opportunity to become not only a lightweight vehicle that it is but a significantly lightweight vehicle that the Cougar will never get to. The Cheetah has got much more ability to operate in very narrow streets and over environments. It’s potentially easier to carry in some of the ships, particularly the ships The Marines use. So it’s clear to us even though there is some commonality to these requirements that there is still enough of a distinction between these two vehicles that we’re not morphing them together.
Damon Walsh: I think there’s a couple of different customer communities out there. I don’t think there’s, Force Protection will never do anything that will compromise on the security. There’s a level of protection that we just won’t go below because our reputation is better then anybody else’s in being able to keep the war fighters alive. Having said that, The Marine Corp in part is looking at, they’ve made a substantial investment in almost pure fleeting with Cougars so they’re very excited about the five test vehicles because in part they want to evaluate that for what are things they could do, take from that vehicle and then work with us to evaluate upgrades and block cycle changes that we can incorporate into the existing Cougar fleet. Above and beyond that then you have the Army who is still, there are still a lot of dynamics associated with what is the end state for their tactical wheeled vehicle fleet and the Cheetah 4, the LRAP 13 vehicle, the lightweight Cougar RT, could potentially satisfy some of their appetite but they are distinctly different. The Cougar is not getting super light and the Cheetah is not getting super heavy. Two different niches.
Marc Robins: Force Armor, why is it competitive and your feeling about that and are we taking that to other contractors or is that going to be something that you could offer to the customer, and entice them to do remanufacturing in lieu of having that other contractor’s equipment go back to the other contractors and what I mean is have them bring you their equipment to remanufacture.
Michael Moody: Force Armor is a proprietary product that was developed in our R&D and obviously with use of our blast range. Why we think it is such a good solution is that compared to other solutions that are out there the materials that are involved in producing Force Armor are more readily available and it certainly meets the levels of protection and the survivability that the customer is looking for. We certainly see that it will be fitted to our vehicles and if the customer chooses, retro fitted to our vehicles. We certainly think that it is available to be fitted either in a production facility or in kit form to other manufacturers’ vehicles as well. We have talked to other members of this community and we are actively engaged in those discussions.
Marc Robins: So it would be made available to other contractors for their equipment?
Michael Moody: Yes.
Marc Robins: What about the wheel blast technology?
Michael Moody: The directional blast, that is a solution that this company has been working on for some time. We now have the appropriate patents in place for that. We are undertaking some additional testing but certainly that is a solution that is part of our enhanced activity in R&D that we are focusing on and that’s available as you know, not just for our vehicles but for an enormously wide range of wheeled vehicles.
Marc Robins: So it’s not officially in the portfolio and could be made available.
Michael Moody: Officially in the portfolio, yes.
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments.
Michael Moody: Thank you very much. I really appreciate everyone’s participation on this call. It is excellent from our point of view for us to be current with our filings as well and as I said, we look forward to meeting you on subsequent calls on the road or at AUSA and Modern Day Marine. Thank you very much.